Bjoern Scheib: Good morning ladies and gentlemen. This is Bjoern Scheib speaking. On behalf of Daimler I'd like to welcome you all here in Stuttgart as well as on the Internet for our Full Year 2015 Investors and Analysts Conference. Today we are very happy to have with us the Chairman of the Board of Management and the Head of the Mercedes-Benz Passenger Cars, Dr. Dieter Zetsche, our CFO, Bodo Uebber, and also the Head of our Daimler Trucks and Buses, Dr. Wolfgang Bernhard. Yesterday at the annual press conference Dr. Zetsche and Bodo Uebber presented our financial figures as well as the strategy and details. All relevant materials and respective presentations can be found on the Daimler website. Therefore, today we will begin this conference with a brief introduction by Dr. Zetsche in order to provide you with the maximum time later on for your Q&A session. Having said this, we would like to remind you that this investor conference is governed by the Safe Harbor wording that you can find on our published documents. Please note that all of our presentation contains forward looking statements that reflect management's current view with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward looking statements speak only to the date on which they are made. Please be aware that this conference will be broadcasted, recorded and will be available for replay on our website. For our Q&A later on I would also like to have you all please giving your name and institution that you're representing before asking your questions. Last but not least, in order to grant everybody of you this opportunity to raise a question, we would again limit the number of questions to a maximum of two. From a technical point of view, please now switch off your mobiles because they may interfere with our audio equipment. Thank you very much. And with this I hand over to Dr. Zetsche.
Dieter Zetsche: Thanks, Bjoern and good morning, ladies and gentlemen. Welcome to our analyst and investor conference. We've just put the best year in our 130-year history behind us, with all-time bests in sales, revenues and earnings. But our goal isn't just to get back on top but to stay there, with a successful strategy, with industry-leading technology, driven by highly motivated people. All of this is manifested in the strong 2015 business and financial results we made public yesterday. As investors and analysts, I know you've already gone through those numbers with a fine-tooth comb so I'll simply review the major highlights. Let's begin with Mercedes-Benz cars. In 2015 we once again significantly increased sales to more than 2 million passenger cars. We substantially built on the strong momentum of the prior year with an increase in sales of 16%. Once again, Mercedes-Benz was the strongest growing premium brand. Major contributors to this success were our compact cars, the new C-Class, as well as our SUVs. For further growth, we renewed our entire portfolio of SUVs in 2015 and even expanded it with the addition of the GLE Coupe. Additionally we've introduced two new Maybach models along with the CLA Shooting Brake, the Mercedes-AMG GT and the new C-Class coupe. When it comes to new product introduction at Mercedes, the past is truly prologue. In other words, the speed of our model offensive will remain high. Meanwhile, what once was regarded as the Achilles Heel of Mercedes has been converted into our strength. China is now our largest market. In 2015 Mercedes sales grew in China by a full 41%. Many observers now take a very skeptical view of China. However, we remain confident that we can differentiate ourselves from the competition based on our attractive product portfolio, our strong financial services support and the localization of our production. Our product portfolio in China is more attractive than ever. In 2015 we added 15 new or renewed model series, many developed specifically for the Chinese market. Furthermore, nearly two-thirds of the cars we now sell in China are built in China. That allows us to be far more flexible in reacting to any changes of the market. In every respect, we've built strong momentum in China and we are optimistic that we will maintain this positive dynamic in 2016. Our Cars division's financial results grew over-proportionately. EBIT from ongoing operations improved by 40% to €8.3 billion and, with a return on sales of 10%, we hit our margin target. Sales growth was largely responsible for the positive development in our financial results at MBC. They were further boosted by the efficiency measures we implemented along with currency exchange effects. Offsets were attributed to investments in expanding production capacity, technology, autonomous driving and digitization. Let's turn to Daimler Trucks, where we delivered on our promise to exceed 500,000 units in sales. This is all the more remarkable as developments in regional truck markets varied greatly. In the NAFTA region, all went exceptionally well for us. And we were also able to increase sales in Western Europe, Japan and India. In contrast, truck sales in Latin America declined significantly, largely due to the overall market slump in Brazil. Still, thanks to our global presence, we were able to compensate for the weakness in specific regional markets. Revenues increased by 16% to €37.6 billion. The market success of our products and currency exchange effects both contributed to this growth. EBIT from ongoing operations amounted to €2.7 billion, well above the prior year level. While return on sales climbed to 7.3% compared to 6.4% in the previous year. The improvement of our financial results at Daimler Trucks is largely due to increased sales in the NAFTA region and Europe. In addition, further efficiency measures and currency exchange effects also made a positive impact. A burden on earnings can be attributed to the already mentioned decline in sales in Latin America and Indonesia, as well as higher costs for warranty and goodwill. Furthermore, expenditures for capacity expansions and upfront costs for new technologies and vehicles, all investments in our future, also put some downward pressure on our results. Overall, Daimler Trucks performed very well in 2015 and reinforced its position as a world leader. That's also the position we claim in autonomous driving. We've provided impressive proof of our leading role with the world's first licensed vehicle of any kind in the estate in Nevada, and the first road test of a series built truck in Germany. Every second vehicle that we sell today is either financed or leased by Daimler Financial Services. In 2015, new business grew by 21%. Total contract volume today is now at €117 billion. Worldwide more than 3.7 million customers put their trust in DFS. Our finance business is growing in every region of the world. New business growth continues to get stronger, especially in China. In 2010, we only financed one in 10 vehicles in China; in 2015 it was one in three. The strong performance of our business units all adds up to the strong performance of our Group. Thanks to the market success of our products, we were able to increase Group revenues by 15% to €149.5 billion. Group EBIT from ongoing business increased over-proportionately by 36% and came in at €13.8 billion. Consolidated net income reached €8.9 billion. Free cash flow from our industrial business, adjusted for M&A effects and the extraordinary pension contribution, was €5.9 billion, surpassing not only the prior year's number but also the proposed dividend distribution for 2015 by a significant margin. This led to an increase in net liquidity of our industrial business. With €18.6 billion at the end of the fiscal year, we reached a level that will enable us to continue our strong investment offensive. That briefly sums up Daimler's 2015. In the past years, we've executed our strategy with a sharp focus on great purpose. The result is our current success. To allow our shareholders to share in the success of our company, the Board of Management and Supervisory Board will propose to raise the dividend to €3.25 per share, by far the highest dividend in our company's long history. That will bring the total dividend distribution to €3.5 billion. Based on the current share price, our proposed dividend represents a dividend yield of more than 5%. In the current interest rate environment, this corresponds to a very attractive rate. Moving forward, we intend to remain on this track. We will continue to strengthen our core business, grow globally, lead in technology and drive digitalization. So now let's look ahead to 2016. At Mercedes-Benz Cars, all of the products we introduced in 2015 will have their full market effect in 2016, such as our SUVs. Most importantly, our product offensive will continue. In 2016, we will introduce another dozen new or renewed passenger car models. With that, Mercedes-Benz will have the youngest product portfolio among premium car makers. The biggest premier of this year already took place in Detroit, that of the new E-Class. 1,200 of our engineers worked on this car over 48 months. The results speak for themselves. The new E-Class is the most intelligent business sedan in the world. We believe the intelligence of a Mercedes should not end when our customer leaves his or her vehicle. That's what Mercedes Me is all about. The goal is to create an entire ecosystem for our customers to meet all of their needs and this is just the beginning. Mercedes Me will never be complete, it will be continuously updated with new content. Especially the combination of autonomous driving and car sharing services will make fascinating new service offerings possible. Meanwhile, in alternative drive technology we are forging ahead with plug-in hybrids. In 2017, we will have 10 plug-in hybrids in the market. We believe this concept provides the best everyday utility of all alternative drives. That's why we see it as the most successful alternative drive technology over the next decade. With it we will further decrease our vehicles' CO2 emissions. At the end of last year our average emissions in Europe stood at 123 grams per kilometer, meaning we already over achieved the 2016 target in 2015. At the same time we are working on a dedicated architecture for an electric car with a range of up to 500 kilometers. That's part of the €4.7 billion in research and development we invested in our passenger car business in 2015. For our commercial vehicles, the aim is to stay on the chosen route and continue to accelerate. In terms of technology, it's all about safety, efficiency and connectivity. With our autonomous trucks we've already set the bar high. Throughout this year we are going to set it even higher, in particular at the IAA Commercial Vehicles Show in the fall. We continue to build out our global presence. In October we opened the first of six plant regional headquarters to move closer to our customers. Next week two more will follow. And we further enhanced our platform strategy. After localizing our automated transmissions we also introduced our middle duty engines in the NAFTA region. In addition, we are investing in the local production of these engines in Detroit in 2018. The key word here is investment. In 2016 we will increase our tangible investments, particularly in the plant expansion of our product offerings, building out additional production and distribution capacity and digital networking the entire value added chain. To foster sustainable and profitable growth, we both continue to invest and continue our efforts to structurally optimize our business. Even as we see our strategy and past investments bearing fruit, we will not give up any ground on improving our flexibility and efficiency. We will continue to ensure the robustness and sustainability of our business model. Examples like the joint acquisition of HERE or contracting Valmet to produce the GLC prove our focus on flexibility and capital efficiency. So much for the outlook. Now does all of this mean, what does all of this mean for our expectations for the year 2016? Global demand for passenger cars is expected to pick up from the current high level by another 3% or 4%. The traditional markets are anticipated to show only slight increases, whereas the Chinese auto market is expected to keep on growing significantly, thanks to the governmental stimulus. The commercial vehicles markets will probably shrink in total in the regions that are relevant to us. While the European truck market is expected to slightly grow, the market in Brazil shows no signs of improvement and is likely to decrease again in the magnitude of 10%. The NAFTA truck market is likely to drop by 10% versus the very high previous year's level, but we have sufficient flexibility in our plans to quickly react and adjust capacity. However, we are planning to keep our sales of trucks and buses stable, thanks to our leading products and strong sales team. In cars and vans our goal is to once again significantly increase sales. Financial services will also pursue further growth. On this basis we expect to slightly increase Group EBIT from ongoing business in 2016. For individual business units we've set the following EBIT goals. Cars, vans, buses and financial services slightly above the previous year's level, trucks plans to stabilize the EBIT at the high level of 2015. In the current year we expect a positive currency exchange effect of €400 million in our automotive business. Add all of this up and everything points to another good year for Daimler in 2016. Today we published the first indicator of that, our car sales figures for January. With more than 150,000 units, our Mercedes-Benz retail sales increased by 20%, in China we grew by 52%. So we've shown that we can step on the gas. Now we show that we can maintain our high speed. And with that, ladies and gentlemen, I appreciate your attention and welcome your questions. Thank you.
A - Bjoern Scheib: Thank you very much, Dieter, for the introduction. Before we start, I hope you all have seen in your mailboxes the sales release that we published for this January where all regions are again up double digit and the Mercedes-Benz passenger cars as a whole is up by 19% and Mercedes itself around 20%. With this, I would now open up the discussion and we would then start with Stefan.
Stefan Burgstaller: Yes, good morning. Stefan Burgstaller, Goldman Sachs. Yesterday, you guided up the CapEx outlook significantly. Maybe you can talk a bit about the rationale behind that and how do we think about this? Is this the new norm for the auto industry? Is this the new norm for Mercedes-Benz? And do we think about it in absolute terms going forward or in relationship to the revenues? And my second question is, could be probably a very long question, about emissions. You had a track record of reducing the emissions. You've just added a lot of SUVs to the product portfolio, so you're probably giving yourself a bit of an obstacle achieving the tough targets given by the regulators. But my broader question here is the plug-in hybrid strategy is clearly your chosen strategy to deal with the emission targets. On the one side, the regulator will force you to adopt a certain mix, a richer mix of the plug-in hybrids. So technically it's feasible, I get that. But the question I'm asking myself, how do you manage today the anticipated cost offsets given the significant higher cost of the plug-in hybrids? Thank you.
Dieter Zetsche: Thanks for your questions. As far as CapEx is concerned, there's one element of that coming from the Vans division where we are investing into an additional fourth product line, which is not part of our business today. So this is basically growth into the future. On the commercial vehicles side, we are more successful than we ever could have anticipated in turning a component truck into an integrated truck in North America, which means that we are step by step replacing first, and this has well advanced already the heavy-duty engines and now in the future the medium-duty engines from suppliers to our own brands. And, with this, significantly improving the margin potential in our trucks. On top, the transmission has been introduced in the market where automated transmissions were a no-go, and we surprised the market that demand by far exceeded our capacity. So, we have to invest into the capacity of componentry for the drivetrain, mainly for the North American markets. On the Car side, I don't want to go into the nitty-gritty, but talk about the main lines. On the one hand, we are a growing company. We are -- obviously the growth we have seen in revenues this year is higher than the growth we have foreseen in CapEx for the coming year. So the ratios basically don't change. The one element is that we have worked hard throughout the last 10 years to bring us back to very strong competitiveness in our classical business, if you want. By today the leading KPIs, build design, build quality and so on, we think we are in a very good position. The result is strong demand for our products, which you most recently could have seen in January again. Part of that is a widened product portfolio, which of course requires more R&D to expand the portfolio and to keep it fresh from generation to generation. But that is only the one part of the story. I do believe we are at the brink of being the leader within our peers in the premium automotive market. But that's not our yardstick anymore. Looking forward, digitalization is driving the world, changing the world, and we see many industries where this leads to the almost extinction of their former leaders and puts new players in the field, which are taking over. That's not what we intend to see. We intend to lead this change and that is a whole new world of technology where we again do not want to be followers but drive the change. And that is the second part of our investment offensive. We think it's prudent when we are in a very strong position to think about further changes, if you want or restructuring, not in the sense of whatever, cutting workforce, but driving from our traditional automotive world into a digital new world. That's exactly what we want to do. Of course, parallel, the change in the drivetrains to non-emission drivetrains in the mid-term, longer term is another driving factor for investment. So, we do believe that we are very well advised in times when we can do so, to not only be happy about our current successes but build the foundation for our future success. And we are absolutely convinced that is the only successful way to take. I already slightly touched on the second part of your question, emissions and obviously you are right, there we have those significant deviations between the legislative force by the regulator into lower CO2 emissions and on the other hand the demand of our customers. We have never seen higher demand for our MG vehicles in DS. We see again last December light truck sales being above 60% of the total market. In the financial crisis it was more like 40% some. So the customer enjoys great cars and likes to drive. The regulator asks us, and for very good reasons, we do not argue with that, to reduce our CO2 emissions, which to some extent can be accomplished by ever better conventional combustion engines and our new OM-654. Our 654 engine is a great example for that. It's a new diesel engine, four cylinder, which has unseen levels of CO2 emission but at the same time there sets the technological basis for the fulfillment of the new requirements Euro 6 RDE step one, step two, which have just been decided yesterday. We are ready for that with our technology. This engine has just been introduced in the E-Class and of course then will be rolled out. But this is not enough. We need a growing electrification of our fleet as well, be it through plug-in hybrids, be it through full electrical vehicles. Of course, the additional costs involved cannot be seen as being compensated by additional price tags the customer is willing to pay for these parts of our overall vehicles. We have been in a very similar situation four or five years ago when we told you that we are seeing additional content in our vehicles of about €4.2 billion was our calculation at that time, to meet the current CO2 emission level limits. I'm now talking about Europe, but basically the same applies in the U.S. and China. And we said that we will work on reducing this number by being more efficient in these new technologies. We try to get a little piece from the customer and we try to offset the remaining part by further efficiency gains throughout our portfolio. That's exactly what we did and that's why this time where this content is in our vehicles, by today, we have a lower bill of material than we had in 2011. And going forward we have exactly the same challenge. Now we can't give you every single element of how we will compensate it but we have a clear objective to acknowledge these additional burdens and at the same time maintain our level of profitability. So that is the story to your question.
Bjoern Scheib: The next is Arndt, then it's Patrick and then Jose.
Arndt Ellinghorst: Yes. Thanks Bjoern. It's Arndt Ellinghorst here from Evercore. Good morning. One question for Dr. Zetsche and then I'll leave the truck questions to others. You must be sitting in a bit of a dilemma. You've led the probably best turnaround, self-help turnaround story in the industry over the last four, five, six years. The product is amazing and everyone applauds you for that. Yet you're in an environment, in an industry where OEMs are devalued constantly at the stock market and the valuations are moved from OEMs to suppliers literally every day. So given you're running Daimler for another number of years, I would really like to see where you stand on creating shareholder value in the next years. What's the equity story for Daimler? And in that context, it is a question that has to be asked because it's quite huge. We talked in 2010 about the structure of the Group, cars and trucks. There's still a hidden value of give or take €20 billion to €30 billion. Could you talk about this today again? Because you said at that time if we deliver all our targets and our valuation is still as mediocre as it is today, which it is today still, we would think of more structural issues. Just talk a little bit about your view of the equity story, how do you want to create shareholder value and would you just forever completely rule out carving out trucks, at least partially? Thanks.
Dieter Zetsche: To the first part of your story, on the one hand of course the value is always a reflection of the expected future of our company, not of our past. So the one task we're having is to convince you that what we have shown you this or last year, what we have shown you the year before, is not the peak and the end of the story. As some of you or others have suggested two years ago, one year ago, again this year and will suggest next year again, by continuously delivering on these targets. And one element to that is that you still think or some of you still think in the traditional cycles of launching a new vehicle, the vehicle is successful, the return on sales goes up and then the vehicle gets older and then the story comes back again. This was in the times, and I'm exaggerating, when we had C-Class and E-Class, and S-Class, and then we had these strong discontinuities in our product offerings. Today we are going from 30 to 40 different vehicles, so every year, when you divide that by seven, we have in average six launches. Of course these are not all volume launches but there are a significant number of volume launches in that, and of course the SUV story is adding to that, that you are based on many more pillars of strong volumes within your portfolio. So we will not show these strong cycles as we did in the past and that is once again on the, if you want, traditional side. So what we do today should be seen as can be continued into the future. But when you talk about a fantasy for the future, I was indicating that before. I am convinced that we are in a phase of changes we have never seen before. And this can be seen as a tremendous opportunity or as a challenge. We see that as a tremendous opportunity. Our task is to separate ourselves from the peers in the automotive industry and to compare ourselves to the merging industry between the tech world and the automotive world. And that's exactly our vision, that we can add the strengths of these two worlds and therefore provide our customers unseen products and services they have never even [indiscernible] of our automotive peers. And that is the future story we are working on. That's what I was relating to before when I was talking about investments and we see that very few of our peers even can afford to go in this direction, looking at the resources. Our best, as far as I understand, corporate value versus the sum of the parts is to compare the capital market values of the two most comparable peers in these two industries, which is [indiscernible]. And if you add the value of these two companies, you will see that when in the past we were seeing a huge gap in this comparison, today we are basically in parity. So I don't know where you deduct this assumption that there are €20 billion hidden value by splitting up. We don't see that. We see that the industry altogether is depressed, that's why the comparison reflects that. And that our task is to get rid of this pessimism about the future of our industry, especially about the future of Daimler.
Patrick Hummel: Patrick Hummel from UBS. Can I ask Dr. Bernhard about trucks business? You're expecting the U.S. market obviously to decline 10%. Order intake in the market, the latest decline rates are much steeper actually. Brazil, you see negative territory. I'm just curious if you can add a bit more color where your confidence actually comes from, first, to keep U.S. sales flat year-over-year in 2015? And then second, of course also EBIT? Also bearing in mind that I would assume with U.S. Class 8 being your most profitable business and in the market at least very steep order intake declines, we should expect some pricing pressure as well. So maybe you can give a bit more color on that and also about the offsetting items that you expect to help EBIT staying stable year-over-year?
Wolfgang Bernhard: Okay. First of all to the U.S. market, with a decline of roughly 10% in the marketplace and a 15% especially for Class 8s, we are in line with many of our competitors and we are not seeing a different world. With a 10% to 15%, or 10% decline for the markets, we are still above 2014 year. So we just look at it and put it into perspective. It's not that the sky is falling; we don't see the sky falling for 2016 in the U.S. but we see a moderate decline from very, very, very high levels that we've seen last year. So if we take a balanced view to this, yes, we're going back a little bit with the market, the market is going back a little bit, but it's not as steep a decline as many of the participants might anticipate. When you look also at the order intake, you have to look at the absolute levels over time. So if you look at 2015, the order intakes that might indicate in some part what's going to happen in 2016, you will see that these are still above what we took in 2014 and 2013. So in absolute numbers these are still very healthy order intakes that we see. And so it is not -- we would like to take a balanced view and I would like to caution you a little bit. In the marketplace there's the attitude that this whole thing is falling completely down. It's not the case. We still think that the market will be above 2014, which was a good market. Secondly, the big question is, how do we think we will perform in this market. Now with the full availability of capacity of our heavy duty engine, we believe that our penetration rate in U.S. will go up from roughly 80% that we had so far, over 90%. This will boost margins as these trucks are very much in demand. Secondly, so far in our Class 8 we had a penetration rate I would say roughly 40% of our heavy-duty captive transmission. As we make more capacity available, and we are investing in capacity on the transmission, we'll see higher penetration rates, I would say in the vicinity of 60% next year. So this is also another margin boost. Based on our limitations we had last year, which have gone away, we believe that there is opportunity to grab market share without damaging the margin or net price levels. So we believe that our story for the U.S. and especially NAFTA is still in place. You also could look at Mexico where we see that we have a really good streak in Mexico. So overall I believe, yes, the market is weaker but overall we don't think that this will have a huge impact on us. We will still be very strong. There also has been some speculation in the market about dealer inventory. I would also shed some highlight on that one. When we do calculations, and we do those on three-month rolling averages, and we look at us and our competition, it is true that one of our competitors is, with a roughly 1.8 months, very lean. We are at 2.5 months, which is a little bit on the high side. And some of our -- and other competitors are roughly at 3.5 months and 3.8 months, the other ones, so these are I would say rather richly stocked on dealer side. So we believe that, yes, we are a little bit on the high side but this does not mean a big problem for us. Now let's talk about the other markets. Obviously, there is -- one more thing for the U.S. market; higher captive share also means better service business and parts business. So to keep that in mind, after the new vehicle business a considerable revenue and profit stream and margin stream coming through parts and services. And, as in the past, now we're also reaping and harvesting the seeds that we set with our captive component strategy. Now we're also getting continuously more and more sales and service parts, which is good business. Now with respect to the other markets, obviously, we have invested heavily with respect to our technology. I think we are greatly positioned in the European market where we expect some growth in Europe, and in overall, I would say also in Japan we are flat. With our strength of our products and our good sales performance, we believe that we have the opportunity to grab market share. That means markets going down, grabbing market share, we want to keep our sales flat basically through this year and also keep our earnings flat to good performance. So this is basically the story that we would like to tell today.
Jose Asumendi: Thank you. Jose Asumendi, JPMorgan. Thanks, a couple of questions. The first one on China. If you could please comment a little bit, when you look at the market what makes you so confident that the market will continue to grow? In overall market and premium demand '16, '17, what are the metrics you tend to look at? And if you could comment a little bit also on the business model of Daimler, where do you stand on capacity, capacity utilization, engine capacity and also dealer expansion plans over a six to 12-month timeframe, if you could comment a bit on that? And the second item, I'm very interested in this COMPAS project with Renault-Nissan in Mexico, Aguascalientes. So could you maybe just comment a little bit, as much as you can, what is this project about, which vehicles are going to be produced? And it sounds like there is a €1 billion investment there that's going to be invested. Does this explain maybe a little bit the delta also on the CapEx plan for MBC in '16, '17? Any details you could provide there? Thank you very much.
Dieter Zetsche: Thank you very much. China, I do not want to participate in the speculation how the GDP growth development will continue and what is services and what is industry and so on. We are basing our assumptions on the Chinese forecasts on the market development which used to be pretty precise in the past, which foresees about 8% there, even higher forecasts, an 8% growth for the total market. We do see significantly better chances for us, again based on our product offerings. In some of our portfolio parts we were still capacity limited. The GLC is a good example, which just most recently has been introduced in China as a local product and is a striking success throughout the world where we have waiting times which are getting unhealthy already. Next we see today that the C-Class, for instance, now in January we sold more than 10,000 units, which are levels we haven't even dreamed of most recently. The S-Class continues to be strong, the SUVs are extremely strong and now comes the new E-Class. We have -- not even the S-Class did represent a bigger step of innovations to the prior model than the new E-Class does. So we are extremely confident that the position we are taking with S-Class we are now taking with the C-Class, we will take with the new E-Class in this market as well. So, beyond the market development, based on our product, based on fixing the dealer network, the distribution, continues to give us significant growth potential compared with our peers, who, as we all know, have much earlier tapped into the potential of this market. So we had a catch-up to play, no doubt, but we do believe the potential going forward is significant and I think the first month of this year is not really a damper on this optimism, seeing the more than 50% growth we have shown in the first month. Renault-Nissan, we are, as reported, investing together into a plant, which will build compact cars. There are two models for us, which are supposed to provide in the first place of course the North American market but not exclusively, and the partner will get products, different products from this plant as well. So there is of course an efficiency gain in doing that from a common platform. The investment there is of course part of the overall investment going forward. And, once again, we are in growth mode. So when you're asking about utilization of our capacities, we are here in Untertuerkheim with our components basically running almost every Sunday, getting into trouble with the community here of Stuttgart, whether we're allowed to do so or not. Because at all of our plants we are going all extra shifts we are allowed to do and so we have a technical capacity utilization of, I don't know, 120% or something like that. I haven't calculated this. But we are far beyond the calculated numbers before. And we have to invest into capacity expansion throughout the world, and Mexico is one example of that but definitely not limited to Mexico.
Bjoern Scheib: So the next is Mike, then it's Harald and then Horst.
Mike Tyndall: Hi there, it's Mike Tyndall from Citi. Just a question about the new products, you've done a great job at adding content and basically taking share in all of the segments where you've refreshed, and we can see that in the volume numbers. I guess what I'm curious to know is with the new cars what are you seeing in terms of price erosion over the lifecycle? Is there a step change versus the way it was previously or is this a factor that's really driven by competitive environment? And then the second question for Dr. Bernhard, just in relation to profitability. You've spoken a lot about captive powertrain and how that's going to help. If I look at the margins of Navistar versus Paccar, I see I guess an indication of what captive powertrain can do. Can you just give us some sense of the order of magnitude? Yes, I thought you might say that. I can only try. Thanks anyway.
Bodo Uebber: Nice try.
Dieter Zetsche: To your first question, which I will answer, on the one hand we have talked about this intention to increase content driven by CO2 regulations and by the intention to really set our vehicles apart from the competitors as far as the overall value perception is concerned. And on the other hand, offset these by efficiency gains to get all of that together at, at least zero. What we have accomplished in recent years is not only that but we have compensated the increases we saw in the years '10, '11, '12 by reductions in our bill of material, including this growing content, so that we are now at 2010, '11 levels, in this range we are now. That is the one side. The other side is pricing and, yes, of course we still see in a vehicle, pricing potential, which is very strong in the beginning and decreasing until mid cycle, refreshment and going up, and then decreasing to the end of the cycle. If you take the portfolio altogether with these different effects for the different car lines, last year again, while growing 15%, we had a net pricing increase of several hundred millions. So that obviously shows that we are not growing our volume by giving our vehicles away but by creating demand, and that's exactly what we want to go for. And when we're talking about the strive for the number one position, this is because we think we have to have the best offering in the market. And if that's the case, on election day the voters have to put their cross on the right side. So the volume lead should be a consequence of the best offering driven by demand and not an objective in itself, which we would push with any games or incentives.
Wolfgang Bernhard: If I may be allowed to shed a little bit of light in the direction of the question you just asked. Just an example, Class 8, that we have our own engine in there, our Detroit diesel engines, that we share across the continents. So as opposed in the past where basically the engine manufacturer was getting the economies of scale across many vehicle manufacturers, right now we are basically creating those synergies in house. We're changing the whole business model in the United States, right? So this a completely different way of operating. So because of the superiority of the powertrain as a whole, because the engine is much better attuned to the transmission and to the axel, which we all manufacture basically and engineer by ourselves, the performance of the truck is much better and the margins are as well much better, the price is higher. So you should compare a Freightliner with a Cummins engine, and with a captive engine, you see an uptick in margin -- you see an uptick in price, sorry. So second point is, on the cost side, because we all know we're having economies of scale and our platform strategy working, it means that with respect to our heavy duty engines we're getting from numbers almost into passenger car territory in terms of the economies of scale we're getting, so far above 100,000. So these are huge. We're getting into huge numbers. These are huge numbers by truck, from a truck point of view. That means also on the cost side, despite the fact that we're putting a lot of technology into those trucks, we are also getting -- once the capacity investment basically is done, the piece cost is really good. We get good prices from our suppliers and so on and so forth. So there is a really good margin in there. And when Stefan Burgstaller asked about what are you guys doing with your CapEx, trying to continue to do this recipe for success with CapEx. We've seen it pays off to invest in technology, to come up with engines and transmissions that are superior to our competition. It pays off to spread them around the world, use the synergies within the house, which is our, what we always say, our platform strategy, and by that get better margin. And for that you need to invest. And this is exactly what we intend to do this year, 2016, continue to invest in capacity of HDEP, continue our powertrain story, our platform story, with a medium duty engine that is now, which is now rolled into United States. This is HDEP 2.0, so to speak. We're rolling into the medium duty and repeating the success story that we did on the heavy duty in the medium duty. That also means better margins by the end of the day and economies of scale across the globe, and upping our transmission capacity and continue to push on technology. So don't believe that we're resting on our laurels and waiting for competition to creep up. We are upping the ante as we speak. And right now, as you've seen, end of this year the next generation Cascadia will be introduced. This will be another big, big entry into the Class 8 market, where we're making our mark and we don't intend to rest. So this is basically the story that we've tried to do in the United States. So if that sheds some light on your question, I'm happy.
Dieter Zetsche: What Wolfgang just talked about the impact of scale to the supplier base, on Mercedes' car side, in the past a driving factor for a supplier to want to work with us was being part of the reputation Mercedes as a brand had. Today, based on our platform strategy, where we bundle all the volumes on very few architectures, and the growth we have seen and we will continue to see, we are going out and asking for quotes for 5 million to 6 million lifecycle volumes. These are big volumes, where in some cases even one supplier can't live up to the total volume. So we are volume wise now among the gorillas as well, which has a significant impact on our access to the potential of the supplier market.
Bjoern Scheib: So the next is Harold. Then we've got Horst and then Adam.
Harald Hendrikse: Yes. Thanks Bjoern. It's Harald at Morgan Stanley. Can we just turn this conversation around a little bit, please, and say look, the market isn't entirely silly. The market's clearly saying that they don't believe the good conditions that you've had in 2015 are going to continue? That may be right or wrong. But I think it's important for you to talk about how resilient the company can be, how you can mitigate against the more difficult conditions that may well lie ahead, very similar to the situation in 2008, when again at that stage it wasn't so easy to see what was coming. So specifically, clearly the market's very worried about the level of the renminbi and the impact that that would have on the company. Secondly, overall economically Europe is still looking pretty good, but if you look at the performance of the European banks, that's telling a very, very different picture. And then thirdly, especially with respect to yesterday's results, investors are worried that you're increasing your level of investment into what they see as becoming a more difficult market. So can you talk a little bit more about the flexibility of the company, how you'll mitigate the situation in case things do get more difficult? And particularly with all of the challenges in technology that you're talking about, and I think you're absolutely right to face them head on, but clearly investors want to understand how flexible that could be in a more difficult environment?
Dieter Zetsche: Let's not talk about the likelihood of these scenarios you're describing. It is as it is or it will come as it will come. But it's about our capability to react to the volatility of the markets. The headline of our efforts in recent years, namely in the last phase of our efficiency programs, was reduce our fixed-cost basis, not absolute, but as a percentage. And with all the growth we have seen our objective was to, yes, grow, but very, very minimally grow our fixed-cost basis, almost entirely driven by amortization. Of course, even though we have in comparison rather lower than higher capitalization ratios in our spendings, but still of course this can't be changed going forward when we grow. But beyond that, as far as working integration is concerned, we have not done the big splashes and say we've stopped building engines or whatever, even though with our partnership with Renault to some extent we did even that. But we have worked diligently under the surface in the working integration and made significant progress in this regard. If you look at our labor side -- on the production side, for instance, the growth of the last two years was accompanied by a few thousand growth in people. So our -- if you turn that round, our HPVs are improving fast. Everywhere where fixed cost is involved we have done everything possible to improve the ratios all the time. That of course in combination with a high alertness to changes. So we do not want to see inventories building up. When you look to the U.S., I think our inventories are much more healthy than the ones of our competitors. When you look to China, we have almost no inventory because you can't follow the demand. I'm exaggerating a little bit. So at that point in time, our inventories across the board are very good. One exception is that we have pre-built some 212 E-Class vehicles of the old generation not to totally run out of stock after changing to the new generation, which will be launched to the market in April. But generally it's true what I've said. So have low inventory levels, be very alert to any changes in any place. And if that happens, don't push with pricing to overcome the market weakness, but adjust in supply, that we stay on a pull mode. Of course, pull is a big, big word. We all try to encourage the markets to buy our product as well, but directionally. And with that, working extra shifts everywhere, still having a significant number of temporary workers in our German plants and flexibility in other parts of the world, we are in a totally different situation than we were before the financial crisis. And I hope we don't have to prove, but if we have to prove I'm sure we will confirm what I just said.
Bodo Uebber: Maybe one more word.
Dieter Zetsche: One element before you start with trucks, just to complete the strategy we have done, the localization today is totally different. So we have in China brought up a higher share. You heard about two-thirds now is locally produced and sold. I do think that is part of the last year's story.
Wolfgang Bernhard: And this two-thirds used to have less than 40% and now we have now nearly to 60% and of course targets are even higher. Second example in localization is United States. Tuscaloosa, we have invested a lot to do more in the United States. And I do think this [indiscernible] also on the engine side. So of course, by speaking, of course there are more examples. And I do think that is part of the bigger strategy also into the future, looking to the future, to Brazil, what we have already decided. Aguascalientes, on the other hand, is another example of this strategy.
Bodo Uebber: Maybe one more word with respect to our guidance. Talking to some of you, you mentioned that with a softer market and the world how it's being seen, it might be a very bold statement to say we will keep earnings at the level we have in the truck business and I do, I tend to agree. It is a challenging task to make sure that despite the fact that markets are softening you keep your sales numbers and you keep your earnings. That's a very challenging task ahead of us. We are making it very clear, we are not looking at a scenario of 2008 in everything we say. We don't. So, this is not what we're talking about here. The question now comes, would we be able to react if something happens? And I would like to point to some things that it might escape your attention, but these are things that we did in the past, first of all in Brazil. As you know that the market basically collapsed last year again by another 50%. And the most difficult things to adjust, and you all know that, is also always personnel and labor. How can you adjust, because that's the tough part? You can let go of suppliers, you reduce delivery rates. You all can do that, but letting go of people is always the difficult part. Brazil, in the last two and a half years, we let go of 3,000 people. You haven't heard much of that. And there's more need for adjustment as we move forward. The softening in the market in U.S. has already indicated a delay. Last quarter, the last months of last year, we were able to adjust our capacity already in the United States. It might have escaped you, but we let go of 1,000 people, roughly. And this all goes and we are able to do that without much noise together because we have a way of doing this in the meantime. So we are able -- and we continue to adjust our production in the United States, for example, as we see the orders coming. So we are able to adjust our production system and adjust towards the need of the market. That was not always the case in the past, but we think we are much more flexible and much more determined to do so if needed.
Bjoern Scheib: So the next one then is Horst and then Adam, and then after this, Michael.
Horst Schneider: Yes. It's Horst from HSBC. I have got more model-related questions, not that much strategic ones. Can you please give us an update again on the one-offs that we should expect now for 2016? And also could you specify if the R&D capitalization remains rather stable or you want to increase it a little bit since your expenditure increase in general? And last but not least, I have got the main difficulties always with forecasting these other cost changes. And you say it will increase some hundred millions and could you please specify that as well? So, for example, it would be really helpful to say if it will increase by several hundred million, for example, compared to the number you have reported for 2015 and that it's not, for example, in Mercedes cars, again 4-digit million euros, like in 2014.
Bodo Uebber: Thank you for your questions. One-offs, there's of course our strategy with regard to our own retail strategy in Germany, but also European-wide and worldwide. So we plan for another €100 million of charges in 2016. There are some opportunities because we are doing well on retail so therefore that might be the upper limit in 2016. In CapEx -- in R&D, capitalization rates, we had a 34% Mercedes-Benz cars capitalization rate in 2015. Of course a very low one in trucks because we are not fully developing a truck. We're just doing adjustments, so to say, as we say, so a pretty low number. In average it's 27%. It does not change a lot in 2016, so we foresee almost same numbers, 30%, 35% for cars in 2016, somewhat higher numbers in Daimler trucks in 2016. On the cost side, as we have pointed out, that our total funding is going up for R&D and for CapEx. CapEx is related to depreciation, on the other hand. So we are planning for €500 million roughly, so a couple of hundred is precisely, so to say, around €500 million in cost changes. These are purely related to R&D. On the one hand, Dieter pointed out the strategy in terms of electrification and digitalization. And of course the portfolio, which we have the bigger portfolio in passenger cars, leads to of course higher R&D and of course higher depreciation. All of that together, €500 million.
Horst Schneider: That is just Mercedes, not trucks. Right?
Bodo Uebber: Trucks, of course, to complete the story of course, as Wolfgang pointed out, we are investing into capacity. And that leads also to a very low three-digit number in trucks.
Horst Schneider: Okay. That's helpful.
Dieter Zetsche: Perhaps we should mention one element ingrained in these numbers. That is a change for three-four years. Then we have again a stable situation, where we shifted the development cost of our suppliers from being financed by the suppliers to being financed by us, which means pre-paid by us. And that of course increases this, our R&D number. It increases the R&D bill, which is just a structural change in reporting it, and in acting on it.
Bjoern Scheib: Adam?
Adam Hull: Adam Hull at Berenberg. Two questions, please. Firstly, on the diesel emissions, you showed us I think the modular engine yesterday, OM-654. Could you just tell us exactly what the strategy on this is? And could you help us with regard to the NOx emissions. I understand this will have an 80% cut in the real world NOx emissions. Does this mean you're really confident now about achieving these latest EU Commission targets in real world? And with regard to the Netherlands' situation on the diesel emissions and the discussions there, has that been fully resolved and where are we on that? And then secondly, on the electric vehicles and the timing of the rollout, I think you're talking about a 500 kilometer range vehicle. What's the timing on that? And could you just help us in terms of your thoughts on the timing of releases of EVs? Have you delayed this just to maintain a gross margin? What do you see as the overall market conditions for EVs in terms of pricing and profitability? And just help us on that, why has it not come earlier? Thanks.
Dieter Zetsche: Talking about modularization on the engine side. Ok got it. I just tried to get the English word for the German kleeblatt, but I can explain without that. We are going forward in bringing the four and six cylinder engines, cloverleaf, okay. We're going for cloverleaf, which means nothing else but having the four and six cylinder engines in gasoline and diesel being one family so that we have total flexibility. Benefits in the engineering, but more so flexibility in production between these four parts. This of course requires a change from a V shape to an in line on the six cylinder side, which is taking place. So that is a major tool again of reducing fixed cost or letting fixed cost grow slower than our revenues and at the same time improving our flexibility to volatile market situations. As far as the 654 in itself is concerned, this is the latest and greatest technology, which nobody has applied to one engine the way we do it right now. This engine of course is Euro VI. We introduced Euro VI up to three years before the legislation was requiring it. And we are with that engine in a position, even though two days ago approved new definition RDE with step one and step two, is very challenging, and your 85% number is correct in reduction NOx. We have the technology already built into this new vehicle, the E-Class, with this new engine to accomplish these levels, latest at the time required, but certainly before the steps are asking for it. So that is already invested, already developed and already built into the vehicle price cost by today. Netherlands, since decades there are some parties interested in challenging the diesel for a variety of reasons, changing every other year. These groups of course see great opportunity at that point of time to try to kill the diesel. By repeating false accusations again and again they don't become any more true. Netherlands, that's a case which goes back three months or more, so this is very much old news. And while in different parts of Europe there are different official institutions that are measuring emissions of different vehicles, they try to understand what they are doing and how they should cope with the results and enter into a discussion with us for interpretation. And not just with us, but with everybody. And that happens everywhere. And again, three months ago that was in the Netherlands. We looked into these results. There we came to similar conclusions and they confirmed to us that these engines are totally within the regulations, as much as the same was in France and other places. So what we have said five days after the whole story popped, stays valid. We have and we are and we will adhere to all legislation in emissions which are in existence. But again, this will not stop these voices. Perhaps at some point of time people get bored, I don't know, but we have to cope with that. The electric vehicle development, on the one hand, as we told you, we see an important element of the electrification in the hybridization. Plug-in hybrids, we told you by 2017, 10 different models. Six of them are in the market by today, with the GLC. The E-Class will be the seventh, so we deliver on that. Secondly full electric vehicles, up to ranges of 500 kilometers. We are working on two generations. One being out let's say a couple of years directionally. Obviously, I do not want to announce our launch dates, and the other, twice as long, something like that. So we will have -- because things are changing there fast, the available technology for the first timeframe and then the available technology for the next timeframe, I mentioned they're into our platforms and then offer vehicles with these kinds of capabilities fully electrical. And there is nothing delayed. If we would act in this area based on the quarterly result requirements, we wouldn't do anything because, as far as I know, nobody is getting any returns in these activities. But I think we have proven in the past that our investments into the future are not driven by the next quarter result, but by our long-term needs. And of course at the same time we want to deliver at least satisfying results on our current business.
Bjoern Scheib: Now it's Michael. Then we've got Tim and then Stephen.
Michael Raab: Yes. Hi gentlemen. I'm Mike Raab, Kepler Cheuvreux. First of all, I'd like to raise a question concerning Mercedes-Benz [indiscernible]. I do remember that, saying on stage, Ola Kaellenius, at the Frankfurt Auto Show, explained that, specifically in China, the S-Class seems to be extremely rich, with a lot of Maybach versions being sold there. So one could perhaps argue that on the one hand the S-Class is going to feel a bit more headwind from the new BMW 7 Series this year, but on the other hand, the family has been broadened and probably the mix is rich. So could you tell us a little bit where you expect the mix to go, specifically for the S-Class this year? And then one question for Dr. Bernhard, and please forgive me, sir, if I missed out on the information already being given, but with all of what you said, where do you see truck pricing go, notably in the U.S. market this year? Thank you.
Dieter Zetsche: What Ola said was, and of course is always, true, like for all our colleagues. And as far as specifically the S-Class in China is concerned, yes of course, like with every vehicle, there's a cycle, the lifecycle development. The start of the S-Class has been phenomenal and going far beyond our expectations in volume. For a long period of time we sold twice as much as the two competitors combined in this segment. Now as the new competitor has arrived, so far we have not seen impact on our plant numbers. It was a very smart move to introduce the Maybach in hindsight because that's exactly the differentiation where nobody competes and can compete with us. And we continue to sell about 500 a month only in China, with almost list-price transaction prices. So it's amazing how successful this vehicle is, especially in this market, but not limited to this market. And therefore -- we are very sensitive. We saw some pricing pressure in that segment. Mid-year last year we immediately pulled back volume, adjusted into looping, and saw the prices recover afterwards. So we have seen in the second half of the year increasing transaction prices for the S-Class, which obviously in that forward going lifecycle is not unnatural. We will continue to do that. Exactly the pricing gives us the definition for our supply and that's what we will continue. So it's healthy. Of course, we appreciate the efforts our competitors are doing and they are smart people and they come up with good cars, no doubt. But we do not see our single opposition with the S-Class being challenged with that.
Wolfgang Bernhard: Pricing in truck world; Europe, as I said, we expect a little bit growth in the European market so we don't foresee much pricing pressure in Europe and we expect prices to be flat. In United States, you might anticipate some pricing pressure. But so far, due to our competitiveness of our vehicle line-up and our capacity limitations that we had so far, we believe that we can also continue with the pricing that we have in the United States. So we also anticipate flat prices because right now so far we could not deliver all the vehicles and all the engines that were demanded from the market. Now we can. And we believe that also in this respect market prices will be flat for us. In other markets, like Brazil, we do not see any help in reducing prices because the market is just not there. So we don't believe that of getting prices down will give us any lift in the market as there's just no market. So we don't believe much changed there. And in Japan we were very lucky so far to, in spite the fact there for the first time after many years we were able to lift a little bit the market share, we could do this without pricing. So also in all these markets we do not primarily entice our customers through pricing, but much more through the vehicle advantages that we have, to the superiority of our vehicles with respect to competition. And our sales force continues to tell the story and our customers continue to believe it.
Dieter Zetsche: Basically a common denominator through all of our divisions, the same applies to the van segment and same applies to buses that we try again to create demand and not sell over price.
Tim Rokassa: Tim Rokassa, Deutsche Bank over here. I have two questions. One for you, Mr. Zetsche, I guess. You said that thinking in cycles is still very much an old-world phenomenon. Probably some people would argue that always chasing volume and wanting to be the biggest one is equally something out of the old world. Is chasing volume still really the right strategy in the current environment with all the changes that we have seen? Do you need it to offset the incremental costs, for example? And then also somewhat related to this, with R&D and CapEx spending going up even more and it feels like profitability becoming even more capital-intensive, you already started to do this. But will we see more co-operations in the auto industry, like in the Nokia-HERE case, for example, on battery manufacturing? And then also, could you perhaps think that at some point we might see outsourcing of at least the least profitable models to the full extent for Daimler? And then a follow-up question to you, Mr. Uebber, just a modeling one. We had this Manager magazine article on FX. Could you perhaps update us on your hedging rates? And in particular also following to Harald's question, how much significantly weakening renminbi would really hurt you at this point? Thank you.
Dieter Zetsche: I tried to explain that before. In our company everybody was convinced that with that brand we have no choice, and of course it's our will as well, but to offer the best vehicle in the competitive setup. And at the same time, the majority saw it as a given that others who are not that good grow faster than we do. That's just nature of law. And then I announced this Mercedes 2020 and there were many voices saying, okay, now that's the end of the company, we finally lose our distinction, and we have to be small and fine and then we have the best vehicles. And I said that's stupid. If we believe we have the best product and the best customer experience, then the customer is the final proof of the pudding. And once again, if at Election Day a bigger portion of the customers say, no, I prefer the package of someone else, then we might tell us, as long as you want that, we are the best, but this is just wrong. And therefore, again, we are not chasing volume. We are chasing to be the best offering to the customers. That's true, if we accomplish that, it's a natural consequence that more customers will decide for us. And that's exactly what's happening right now. So people say this will create pricing pressure, this will erode our margins and so on. Exactly the opposite is true. At the same time of course we are a business where scale has an impact and therefore, for instance, doing, even at the very upper end, doing an S-Class Maybach and a coupe and a convertible, very few can afford that. If you have a smaller volume to start with, you cannot differentiate into two or three or even four different models. We can, based on scale. So there is -- first of all, it's again a natural consequence, but it enables us to do things which we otherwise couldn't do. So we are not chasing volume. We want to build the best cars and therefore we will be number one in volume as a consequence. Batteries, Nokia-HERE, I think was a very prudent move. We want to give our customers data protection. To be able to do so we have to be control of the data being generated by the future cars. And we only can do that when we have our own platform. But this doesn't mean BMW and Audi and Mercedes and whoever, but that means joining our forces there I think was a very prudent move. We are totally convinced that is a good thing to do. And this is open, so we invite others, either shareholders or as customers, to join us. But we are in control of the destiny of these data. At the same time we can drive the development of the company to support the needs for our autonomous cars the best and most focus possible. Batteries, is a different story. First of all, we all do our batteries in-house, but we cannot join there because the battery is, because it's such a huge machine, a very inherent part of the vehicle architecture, and you cannot standardize that and you would get far too many compromises for your architecture. So everybody does that on his own. The cell itself, I would claim that within the industry we are the only ones who know what we are talking about. And when different parties said, great, build a plan together in Germany, then we finally have the cells here, this is a commodity. We did it and we have had technically the best cell. But because it became a supplier market [indiscernible] the best cell, which no customer could feel because the differences are minimum, minimal, but we had far too high costs. There's a big overcapacity in battery plans. These plans require tremendous investments and the dumbest thing we could do to add to that overcapacity. This is a research phase. We are participating there, but nobody knows who will get the breakthrough. And then around this new technology you can look in the feasibility of going for production. That might make sense or not, but today its loss of time to even discuss that.
Bodo Uebber: Your question with regard to hedging policy, of course the policy has not changed. As we always explained, we have a couple of year policy in hedging. We are at 80% for next year and 45% for 2017 for the key currencies. Of course you can imagine for some emerging market currencies you cannot hedge or you should not hedge for a longer period of time because it's too expensive. And therefore, for example, for the ruble or other emerging markets, you are just only one year hedged, so to say, with a certain percentage, which I will point out later in terms of effects of 2016. Of course you have quarterly effects in your currency hedge book with regard to the sales development and therefore the exposure development and the currency movements, but normally they are offsetting each other over the quarters ahead. For 2016 we have pointed out that we will see a positive effect of €0.4 billion in currencies. There included is a high amount of, we say a high three-digit amount for emerging markets' currency, especially for the ruble, but also for the Brazilian real and the Turkish lira. And these are the currencies which are currently by far weaker over the last couple of years. And, as I said before, the hedge booked there is percentage wise somewhat lower. And therefore, due to the open exposure, so to say, and running into the next year of weakness of these currencies, there's a high amount of effect in the €0.4 billion. Its north of €500 million, which is included in the guidance of 2016.
Bjoern Scheib: So now we are taking the last question by Stephen.
Stephen Reitman: Thank you. Stephen Reitman from Societe Generale in London. You talked about convincing the market about the sustainability of Mercedes' margins, possibly that being one of the factors behind the relatively low rating of the company. In the past Mercedes was seen to be a laggard in platform development and clearly you've more than caught up and quite possibly are leading now with bringing the E-Class in on the MRA platform. So I understands that completes that part of the MRA piece, and you always said that with MRA, when you bring the E-Class in you will then bring MRA pretty much to its full potential. So maybe you could talk a little bit about what that actually means in terms of the economics across the Group, because obviously it impacts on C-Class and other vehicles on that platform as well? And maybe that gives us also some comfort about the sustainability of margins going forward.
Dieter Zetsche: I think the best I can say is that that means that we are 10% margin and that means what I said before, that with our bill of material we have seen I think the fourth consequential year of reduced bill of material, including the additional content, which continues to be close to €1 billion per year. Offsetting that, plus the inflation across the board of course, raw materials are no inflation these times, they are helping. That is clear. But overall we see declining cost in the bill of material offsetting the content. And this is of course a consequence of bundling all these different vehicles on one platform, and MRA 2 will even give us further potential in this regard. So we are really very [consequent]. And we have, within these platforms, these architectures, common parts, with rates up to 70%, 80%. So that is definitely one of the driving factors, which allow us for the kind of profitability we are showing.